Operator: Good morning and welcome to the Wave Life Sciences First Quarter 2022 Financial Results Call. At this time, all participants are in a listen-only mode. As a reminder, this call is being recorded and webcast. I will now turn the call over to Kate Rausch, VP of Investor Relations and Corporate Affairs at Wave Life Sciences. Please go ahead.
Kate Rausch: Good morning, and thank you for joining us today to discuss our recent business progress and review Wave’s first quarter 2022 financial results. Joining me today with prepared remarks are Dr. Paul Bolno, Wave’s President and Chief Executive Officer; Dr. Mike Panzara, Chief Medical Officer, Head of Therapeutics Discovery and Development; and Kyle Moran, Chief Financial Officer. The press release issued this morning and the slide presentation to accompany this webcast are available in the Investors section of our website www.wavelifesciences.com. Before we begin, I would like to remind you that discussions during this conference call will include forward-looking statements. These statements are subject to a several risks and uncertainties that could cause our actual results to differ materially from those described in these forward-looking statements. The factors that could cause actual results to differ are discussed in the press release issued today and in our SEC filings, including our annual report on Form 10-K for the year ended December 31, 2021 and our quarterly report on Form 10-Q for the quarter ended March 31, 2022. We undertake no obligation to update or revise any forward-looking statement for any reason. I would now like to turn the call over to Paul. Paul?
Paul Bolno: Thanks, Kate. Good morning and thank you all for joining us. Today, I will start by highlighting our achievements so far this year and provide a business update. Mike will discuss our therapeutic pipeline; and finally, Kyle will discuss our first quarter financials. This has been an exciting first half of 2022 for Wave. We are executing on multiple pillars to drive value for both our shareholders and the patients and families we serve. We remain on track to deliver data from our three clinical programs to rapidly inform their next stages of development. This was exemplified by our recent positive data announcement on our C9 program. Rapidly advance our first RNA editing AIMer Alpha-1 antitrypsin AATD program into IND-enabling toxicology studies, a key step on the path to the clinic and leverage partnership to unlock value from our platform, pipeline to manufacturing. Starting with our clinical programs. Wave has been at the forefront of accelerating innovation in oligonucleotide. And our recent clinical data is a first glimpse of how our preclinical data are translating inpatient. As we announced in April, WVE-004, demonstrated successful target engagement in the central nervous system in the ongoing FOCUS-C9 study for patients with C9orf72 associated ALS or FTD. We were able to rapidly identify this positive signal with single low doses of 004 due to the innovative and adaptive design of the trial. As Mike will highlight today, the clinical trial is advancing to optimize dose and frequency for the next phase of development. As you are all aware, ALS and FTD are devastating diseases of extremely high unmet need. For those with C9 mutations, these illnesses are also marked by faster rates of progression, and we are moving with urgency to advance this program. This year we also expect to deliver data from our ongoing SELECT-HD clinical trials studying WVE-003 in Huntington's disease and our ongoing clinical trial in DMD studying WVE-N531. These data will help us further elucidate the broad potential of PN chemistry for CNS and muscle diseases. Beyond our current clinical portfolio, we are advancing our AATD program, using GalNAc targeted delivery. Not only does our RNA editing modality have the potential to transform the way patients are treated for this disease, but initial clinical proof-of-concept will substantially derisk additional RNA editing disease targets. Finally, we remain active in our business development efforts. There is widespread recognition of the potential for oligonucleotides therapeutics. With several key publications on our novel PN chemistry earlier this year and our recent positive clinical data, discussions with potential partners are accelerated, RNA editing in particular is right for collaboration and vastly expands the landscape of addressable genetic targets. Wave's AIMers are enabled by our unique chemistry modification, as well as the creativity and expertise of our scientists. In the first quarter, we announced the publication of our foundational preclinical proof-of-concept editing data in Nature Biotechnology, which showed that a simplified oligonucleotides approach can be used for robust, durable, and highly specific RNA-based editing without exogenous enzymes or delivery vehicles. This paper served to further distinguish our AIMers from others pursuing editing applications have both the RNA and DNA levels. We expect 2022 to continue to be an important year for partnering, including leveraging our manufacturing capability. We see vast potential to expand the reach of our platform with AIMers. There are tens of thousands of single nucleotide disease variants that are potentially amenable to aid our editing corrections. Demonstrating clinical proof-of-concept in AATD would serve to derisk additional monogenic diseases, as well as open opportunities to address large patient populations through modulation of proteins, such as disruption of protein, protein interactions. Our positive ALS FTD clinical data offers the potential to leverage our preclinical data, demonstrating potent and durable editing in the central nervous system. Our PRISM platform enables us to capture learnings with each new target, and we expect to shorten our cycle times from target identifications, preclinical proof-of-concept to clinical candidate over time. Today, in tandem with this earnings call, Dr. Paloma Giangrande is presenting our preclinical AIMer data at the TIDES USA conference. As a reminder, we observed clinically relevant levels of AAT restoration with AIMer treatments in a transgenic mouse model, following multiple doses of GalNAc SERPINA1 AIMers. Specifically, at week 19, we observed RNA editing of approximately 60% in liver. This level of editing resulted in total AAT serum protein levels of 18.5 micromolar or fivefold higher than control. The majority of the circulating AAT protein approximately 70% was confirmed healthy wild-type M-AAT protein. While there are multiple approaches being developed to address AATD, the advantages of AIMer is the ability to address both lung and liver manifestations of the disease, with a single subcutaneous administered compound. Today, Paloma is also sharing new data at TIDES, demonstrating the functionality of the restored AAT protein at week 19 as measured by neutrophil elastase inhibition, as shown on Slide 8 on the left. Histological analysis of liver biopsy indicate treatment with AIMers reduces accumulation of liver Z-AAT aggregates over time as assessed by PAS-D staining as shown on the right. We will be highlighting our AATD program data again in an oral presentation at the ASGCT Meeting next week. Ill now turn the call over to Mike to give an update on our clinical programs, as well as the progress advancing AATD towards the clinical development. Mike?
Mike Panzara: Thanks Paul, and good morning to everyone on the call. Today, I will review our clinical and emerging therapeutic programs, starting with our recent FOCUS-C9 trial data for WVE-004. First, I would like to spend a moment on the C9orf72 mutation. Our clinical candidate, WVE-004, is designed to target the pre-mRNA variant hexanucleotide repeat expansion that result from C9orf72 mutations, the most common known genetic cause of ALS and FTD. C9orf72 mutations lead to multiple drivers of toxicity. And WVE-004 was designed with a goal of addressing each aspect of this complex, but well described biology. Hexanucleotide repeat containing RNA transcripts deposit in tissues, and are toxic on their own, but they are also translated into long dipeptide repeat proteins, or DPR proteins, that trigger cellular toxicity through a variety of downstream mechanisms. 004 selectively targets the pre-mRNA variant transcripts that contain both the hexanucleotide expansion with a goal of suppressing, both the RNA and DPR associated toxicities while preserving existing levels of C9orf72 protein expression. Because the DPRs are measurable in CSF and derived from expanded mRNA transcripts, they may be used as biomarkers of target engagement with compounds such as WVE-004 designed to target this pathway. In the case of 004, we selected poly(GP) as our preferred DPR biomarker, both because it is the only DPR produced from both sense and antisense mRNA variants, and because of the availability of an animal model to explore in vivo target engagement to more accurately estimate the doses required for target engagement when moving into human trials. poly(GP) is also abundant in the CNS and the most soluble among dipeptide repeat proteins. In preclinical studies, we demonstrated WVE-004's ability to rapidly and durably reduce poly(GP) by over 90% in the spinal cord and at least 80% from the cortex of a transgenic mouse after just two ICP doses, seven days apart. The silencing effect in this model lasted at least six months and normal C9orf72 protein levels were preserved over the same period, confirming the selectivity of 004. These results along with the single and multidose data in non-human primates enabled us to determine a starting dose in humans that was predicted to be safe and have the potential to engage target and yield a reduction in poly(GP). As we showed during our Investor update in early April, we saw excellent translation of this modeling into clinic. We observed robust target engagement as shown on the figure on the right of slide 12, which prompted us to adapt the FOCUS-C9 study, specifically single low 10 and 30 milligram doses of 004 significantly reduced CSF poly(GP) versus placebo at several time points. Further, our modeling predicts continued decline in poly(GP) with additional follow-up as well as with the administration of multiple doses. We are now adapting the study to fully characterize the depth of poly(GP) reduction with single doses of WVE-004 while continuing the multidose phase, which is well underway. Specifically, we are extending the observation period for the single dose cohorts from three to six months, while dosing additional patients with 30 milligrams and enrolling additional patients to receive a 20 milligram single dose. These additional data will help us identify the optimal dose level and frequency to explore in the upcoming open-label extension study beginning in mid-2022 as well as the next phase of development. We anticipate that FOCUS-C9 will provide additional data throughout 2022, which will be used to optimize dose level and frequency and enable discussions with regulatory authorities later this year. Lastly, we are excited to be sharing these data as an oral presentation at the upcoming European Network to Cure ALS, or ENCALS, which is occurring in early June. FOCUS-C9 is just the first example of the approach taken with our current clinical and preclinical candidates, which are built upon our own experiences, along with innovations from the PRISM platform to design CNS candidates that promise to be distinct from others in the field. Our approach begins with the capabilities of PRISM at its core and an increased understanding of the factors influencing the pharmacology of our molecules and availability of in vivo systems to better understand PK/PD relationships to predict human dosing. Then by leveraging proprietary chemistry modifications in the context of the ability to control stereochemistry, we can now rationally design candidates optimizing their widespread tissue distribution and target engagement with the potential for a favorable tolerability profile. Finally, careful selection of relevant biomarkers, other endpoints and patient population, along with adaptive study designs that allow real-time adjustment of dose level and frequency that positions us well to reduce development risk and drive rapid decision-making. As you can see from these data, our work is beginning to bear fruit with clear proof-of-concept clinical data and effects on relevant biomarker even at the starting dose. The real-time decision-making and consultation with our independent DSMB will continue, allowing us to swiftly move the programs forward. Further, this outcome makes us even more optimistic about our other programs and data readouts this year. For WVE-003, our allele selective oligonucleotide for patients with Huntington's disease that harbor SNP3 in association with a mutant huntingtin mutation, the SELECT-HD clinical trial is ongoing. Like FOCUS-C9, the SELECT-HD study is adaptive with a goal of accelerating time to proof-of-concept. Dose escalation continues, and we expect to share clinical data for 003 in 2022 to provide further insight into PN chemistry and enable decision-making for this program. WVE-N531 is a slicing oligonucleotide targeting exon 53 skipping in Duchenne macular dystrophy. As a reminder, we shared some of the pharmacokinetic data from the DMD study with WVE-N531 last quarter, demonstrating an improved pharmacological profile with PN chemistry compared to our first-generation DMD compound. We expect clinical data, including muscle biopsies to enable decision-making in 2022. Lastly, we continue to make excellent progress advancing our AATD program and are on track to select an AATD AIMer, development candidate and initiate IND-enabling toxicology studies in the third quarter of this year, at which point we expect to share more detail on expected timing of CTA filings. I will now turn the call over to Kyle Moran, our CFO. Kyle?
Kyle Moran: Thanks Mike. Net loss for the three months ended March 31, 2022, was $37.8 million. We reported $1.8 million of revenue for the first quarter of 2022, which was primarily related to GAAP revenue earned under our collaboration with Takeda. R&D expenses were $27.5 million for the first quarter of 2022 as compared to $33.4 million in the same period in 2021. This was primarily due to decreased external expenses related to our previously discontinued clinical program, partially offset by increased internal and external expenses related to our PRISM platform, including ADAR editing and other ongoing programs.  G&A expenses were $12.4 million for the first quarter of 2022 as compared to $10.1 million last year, primarily due to increase in compensation related professional services and other G&A operating expenses. We ended the first quarter with $111.7 million in cash, cash equivalents and short-term investments. We continue to expect that our cash, cash equivalents and short-term investments will enable us to fund our operating and capital expenditure requirements into the second quarter of 2023. As a reminder, we do not include potential milestone or opt-in payments under our Takeda collaboration in our cash runway. I'll now turn the call back over to Paul. Paul?
Paul Bolno: Thanks Kyle. I'm proud of our team for their hard work and dedication and especially for delivering on the first significant clinical milestone for Wave and for patients living with C9 associated ALS and FTD. We expect to deliver additional data for WVE-004 this year, as well as data from our HD and DMD programs. Each of these data sets will further unlock value and inform the next steps of development. With the increased number of recent high impact publications in the first quarter, coupled with our positive data on WVE-004 demonstrating translation of our robust preclinical data, we are evaluating a number of partnering opportunities. Interest spends different therapeutic areas and modalities and includes leveraging our manufacturing capability. These partnerships are expected to support the expansion and acceleration of both our platform and pipeline, as well as strengthen our financial position. We look forward to sharing updates throughout this year. Finally, I want to acknowledge that May is both ALS and Huntington's disease awareness month. On behalf of everyone at Wave, I'd like to express how incredibly grateful we are to these communities with our partnership and support. We are acutely aware that patients and families are waiting, and this drives us every day to move with urgency, creativity and resolute focus so that we can ultimately deliver life-changing treatments. With that, we'll open up the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Joon Lee with Truist Securities.
Joon Lee: Hi. Thanks for taking our questions. In the setting of Biogen terminating their C9orf program in ALS, what gives you the confidence that your program is better poised for success? Our understanding is that [indiscernible] also preserves wild-type form slightly different mechanism? And I have a quick follow-up.
Paul Bolno: Yeah, I'll turn it over to Mike.
Mike Panzara: Yeah. Hi, Joon. Yeah. So, I mean, simply, we haven't seen any details of it yet. So that's the first thing to point out. But we have a different chemistry, different sequence, different potency. Clearly, just looking at the dose levels, different durability certainly pre-clinically. And there's just a lot of differences. And I think we chose our candidate based upon the biology as I outlined. And so, I mean, we really haven't seen anything that changes our confidence that the approach is going to be worthwhile or change any -- what the literature is saying it's the best hypothesis for treating the disease.
Paul Bolno: I think just to follow-up on that, and Mike's point on potency is important. I mean, what we've seen is translation of our chemistry preclinically to clinically. And if you remember, we saw not just potency, but durability at very low doses, so 10, 20, so dose response, single dose. Single low doses that substantially not just lowered poly(GP) protein, but then actually, as we said, are continuing to follow those patients out even further. So as Mike alluded to, in the absence of knowing what they saw, we had a press release that was a valid terminate -- they had a termination press release, right? We didn't have a data press release yet. So, I think we're confident in our preclinical data translating. I think we have and their following is Merit’s COVID shared on our call that we gave on the data update that poly(GP) is a good predictive biomarker for ALS to follow. And I'll bring up one more point on dosing, the doses and the announcement that we saw with Biogen and Ionis had substantial loading dose. So, their data was, I think, at five doses around 90. So, again, single dose data gives us at least the confidence going back to our preclinical data of potent durable effects, and we have to continue to follow these patients out. As Mike said on the call, see what happens with repeat dosing and where we ultimately get to. But there's a lot of confidence in the community within Wave around the data we're generating, but we'll all have to wait and see.
Joon Lee: Great. Looking forward to the updated data. And all of your trials, including the -- for the Huntington's and DMD are utilizing adaptive trial design, and you have guided to data release in the second half of the year. Does that imply that you have hit certain pre-specified threshold? And if so, are you able to share what that is? Thank you.
Paul Bolno: Yeah. I think just to reiterate, while they are adaptive in design, we haven't guided to any point in the year other than 2022. And I say that because like the C9 -- and C9 is a great example, there are events that could trigger the unblinding and obviously, when that happens, sharing of that data. And so, when the DSMB meets and see that, that trial will change, we'll provide an update.  So, we haven't guided those data to the back half of the year, rather we've guided over the course of this year. And while SNP3, the HD study and DMD started after the C9 study, that data had come at any point after a DSMB review. So, we're not kind of guiding to the back half of the year.
Joon Lee: Thank you.
Operator: Our next question comes from Salim Syed with Mizuho.
Salim Syed: Great. Good morning, guys. Thanks for the questions. Paul or Mike, I guess, a couple for me on the C9 trial. Regarding the functional measures, can you just maybe give us your updated thoughts there? When do you expect to see a functional benefit in this particular trial? And I guess, are you planning to have that functional data in hand prior to you going to regulatory authorities for the next phase of development? And then just a quick follow-up. Thank you.
Mike Panzara: Yeah. Hi, Salim. This is Mike. Well, I mean, as we've said previously, the ALSFRS-R, in the setting of the ALS patients and CDR-FTLD, which is the cognitive measure, are the primary functional measures that we're looking at in the study. But as Dr. Sakovich [ph] pointed out when we had our data release, it takes about six to 12 months really to see much of an impact on any of these, even in the setting of a positive effect. So, we would not anticipate having any functional data from the core study, FOCUS-C9 this year, and that we would more anticipate that as we transition patients in the ROE and continue to follow them that, that longer-term follow-up in the setting of continued optimized treatment would be really the place where we would see a potential effect.
Salim Syed: Okay. Thanks Mike. So, given that then, could you maybe just outline for us what are the potential outcomes coming out of the regulatory discussions that you plan on having -- the way you see it right now without the functional?
Paul Bolno: Yeah. So, I mean, I think that the potential -- first of all, I very much of a way predicting outcomes of regulatory discussions. I mean, it's not something I'd like to get into. But I would say that, remember, the purpose of this study was to demonstrate proof-of-concept for the approach and target engagements along with a favorable safety profile. And going into authorities, discussing the next phase of development with that context positions us well to come out with a very clear and straightforward path forward. I mean, I think it is known. The authorities have been pretty clear about what it takes to develop a drug in ALS. And I'd say that with the data we have in hand and the optimized dosing that we will have when we talk to them, we're in great shape to basically transition to the next phase of development. So, without getting into details, I think it's pretty clear what's required in these indications and FOCUS-C9 sets us up to have that information ready to go.
Salim Syed: Got it. Okay. Thank you so much.
Paul Bolno: Thank you.
Operator: Our next question comes from Luca Issi with RBC.
Lisa Walter: Perfect. Thanks for taking our question. Thanks. Congrats on the progress this quarter. This is Lisa on for Luca. Just wondering, I noticed in your slides that you're going to include a 20 mg dose for the C9 trial, which is the dose level in between the 10 mg and the 30 mg. Does this have anything to do with the NFL elevations that you observed at the 30 mg dose? And just on the HD program, I was wondering also if you've been able to apply any learning from the C9 study to the Huntington study. For instance, are you able to maybe start at a higher dose in HD based on the target engagement that you've seen in C9? Thanks.
Mike Panzara: Hi. Yeah. This is Mike again. So, regarding the 20 milligram dose, basically, that's purely from the fact that we saw target engagement at 30. That was -- that really didn't necessitate going any higher from a dose identification standpoint in terms of what is the minimal dose we need to have a robust effect. And given that we already saw a little bit of 10 milligrams, we just thought an intermediate dose would be prudent. It was really based upon what is that minimal dose we need to have a robust effect that's durable, that we can take forward with the best dose level and frequency. So that's sort of where we got to. I mean the neurofilament observations were there at 30 and 60 as we've disclosed and we've basically going to be following that. It's exploratory, and we'll see where we end up. We'll see where we end up a single dose. We could go higher if we want to. We could. We are going in right now into multiple doses. So, all of that will pan out. But our current 20 is really based upon, as I said, trying to get that minimal target -- minimal dose that gives us the robust target engagement. Regarding the shared learnings across the two studies, I think that the dose selection in SELECT-HD for our SNP3 targeting program was really using the same principles that we used to establish the dose selection for FOCUS-C9. Based upon the preclinical data, it's a different molecule, different preclinical data, different modeling. So, it's really based upon that and the entire infrastructure around DSMB reviews, independent reviews adapting, they were very similar and established between the studies. And I think the best thing that we can learn from SELECT -- from FOCUS-C9 is that it works, that we can basically use this infrastructure to rapidly see if we have a biological effect and therefore, adapt the study and move forward. So that's shared learning, but each molecule is slightly different.
Paul Bolno: I think to follow up on that, what we did see is translation of predictive modeling from preclinical to clinical C9. And as Mike said, I think we're going to see and expect that same thing to occur in HD. So that was the principal and starting with -- the started doses where we would anticipate engaging target and then run the adaptive studies there. I think to pick up on that first point to Mike's discussion around looking at intermediate doses. Remember, on our preclinical data, that was a repeat dose study. What we see is that this is one of the advantages of PN chemistry. One it's stable, stays inside the cell and save catalytic for a while and then durable. And so, these were single dose data. And I think in this field, we're so used to looking at loading doses and other features at high doses in order to achieve target engagement that we've really reframed hence, why we established the adaptive design principles here that low single doses are engaging. And then with repeat dosing, you get that accumulating effect. And so, one of the things, as Mike alluded to, is looking at repeat dose at 10 moving them to other repeat doses and the single doses at intermediate levels, to the earlier question, are all going to give us the data that we need to determine what that next study looks like in terms of dose design.
Lisa Walter: Got it. Thanks for taking the question.
Operator: Our next question comes from Paul Matteis with Stifel.
Alex Thompson: Hey, thanks for taking our questions. This is Alex on for Paul. I guess a quick follow-up on trial timing this year and then an ALS question again. So, I believe the DMD study is not technically an adaptive study, which is why you were able to share some PK data. I'm curious, given that if you could say anything more about more granular timing on that, given that it's not as hard to predict as an adaptive study. And then, for ALS, what additional data are you expecting to present, if any, at the upcoming ENCALS meeting and later this year, that would be helpful? Thanks.
Paul Bolno: Great. And thanks for the question. So, to start with in DMD, well, it's not adaptive in nature in terms of being open-label. It is blinded in the sense of the biopsies, right, the muscle biopsy stake. And the muscle stays boys until the biopsy point where we hit an MTD, have the three subsequent doses and then take the biopsy. And so, I think what we're seeing there is continued dose and dose escalation in that study. So, at a point in time, when we hit that threshold, that would obviously be the trigger for us to take those biopsy samples. So, trial continues to progress and continues to escalate. So that's DMD. Second was the question for ENCALS and the data presented there, we would anticipate presenting the data that we presented prior. And obviously, Mike will go into more detail on the discussion. But it will be the data that we presented.
Mike Panzara: Yeah. That will be the first real opportunity we have to do that in front of the scientific community and get feedback and answer questions. So, it would be what we've already presented. And then as -- if we are in a place where we then have additional data later in the year, whether it would be for multidose or higher single doses, that would obviously be presented in the appropriate scientific venue with an expansion of data. We are governed by when the DSMB looks at data and gives us some advice on next steps.
Alex Thompson: Great. That’s helpful. Thanks.
Mike Panzara: Thank you.
Paul Bolno: Thank you.
Operator: Our next question comes from Mani Foroohar with SVB Securities.
Mani Foroohar: Hey, guys. Thanks for taking the question. A couple of quick ones. So, I'm looking at your guidance of cash runway through 2Q 2023, I am comparing that versus what your cash burn for this quarter versus cash on hand is. Can you give us a sense of what assumptions we should be making about use of the ATM, any assumptions explicitly you're making in that runway guidance around milestones, business development, et cetera? So, just trying to find a way to reach that guidance. The numbers don't really seem to support it based on what you've disclosed. And then I have a follow-up.
Paul Bolno: Sure. Thanks, Mani for the question. As you see, historically, our cash fluctuates quarter-to-quarter. So, I don't think you can take the latest cash and then just calculate that forward. But we do expect our quarterly burn going forward to be lower than Q1 as we focus our spend on advancing the program to the clinical inflection points. In terms of inflows, we -- as you know, historically, we have gotten cash from tax credits, but we don't include any milestones or any other items in there. So, to that point, it's not calculating any incremental dilution in terms of ATM, it's not calculating. So ongoing discussion separate from the current guidance, we can talk about that subsequently. But I think that covers it.
Mani Foroohar: Okay. I know it's been touched on a couple of times, but I'm having a little trouble. I'm not a little trouble following the logic. When we think about C9orf, you pointed out that your -- the competitor program, for which we don't have full data, but we do have a little bit of understanding of their dosing schedule and discontinuation, they dosed aggressively, including a loading dose approach and yet did not see a compelling profile, but you think that your single dose less aggressive approach will show success. Can you explain that logic to me? I'm just...
Paul Bolno: Yeah. I mean, I started to really basic logic. I mean, to date, we haven't seen any data on the biomarker or on the activity of the drug or on their safety profile, right? We just have a quick update that said they did the analysis, risk benefit terminated the study. We actually, collectively, as a group, don't know really anything about the data. We look forward to seeing the data fulsomely presented so that we can have something to react to. As Mike said, and I'll let him follow up, we see something completely different in a dosing profile. We don't need to have loading doses to initiate that kinetics of the drop of the protein. Low single doses, we're seeing that drop, and it's continuing. Meaning, I think it's really reframing how we think about oligonucleotide. As we shared on at the full data update that we gave earlier, the poly(GP) was continuing to go down with the DSMB suggesting we pushed follow-up period out another three months to see where it gets to. So, the profile is just different. And it really gets us thinking about these oligonucleotides being different in class, different potency, different durability different safety profile, they're different. But I'm happy to let Mike.
Mike Panzara: Yeah. Hi, Mani. I mean, we use the term aggressive in terms of the approach to targeting the biomarker. And I mean aggressive, I think, it sounds like is being used in the sense of giving high doses, five doses of 90 over four months, so 450 milligram dose to achieve something which we haven't seen, which all we do know made people clinically worse. So, aggressive doesn't necessarily always translate into benefits. I mean, this is a benefit risk equation. And the idea of where we're being, as you said, less aggressive, is having a very potent and selective molecule that allows us at low doses to potentially achieve better than higher doses of a different molecule. I think our approach is really to optimize the profile with the better compound. And so, I don't think you can say one is aggressive, one is not aggressive. I think one is a compound that caused a problem and one is a compound that's clearly even as the starting doses, leading to indicators of benefit. So, I think that's why we're confident. We just need to keep going and one does not necessarily for the deal.
Paul Bolno: Yeah. I mean, I always like to think -- I mean, dosing is about making a medicine is not aggressive. It's about potency and potency means achieving greater effect at equivalent levels. So, I think what we're seeing is -- what we designed is a potent molecule, therefore, achieving greater knockdown at lower doses, which is advantageous in, we think, treating CNS diseases as you've kind of followed the history of what's been done in the therapeutic area.
Mani Foroohar: That's actually really helpful. And talk about following the history. It sounds like a lot of your rationale hinges upon your confidence in your interpretation of your own preclinical data. Given the history of Wave's challenges, interpreting their own preclinical data in a predictable way, given the previous DMD programs, repeatedly in Huntington's, et cetera, what changes have you made since the programs -- since those disappointments to develop an internal expertise in consistently interpreting preclinical data that you guys did not possess before?
Paul Bolno: Yeah. I think, it frames a different way, because that we -- when we evaluated preclinical data, if we go back to SNP1 and 2 and the CNS, we didn't have predictive models to assess that starting dose and where we were. I mean, we had a number of conversations where we had to triangulate between in vitro and knockdown data, and we had to look at nonhuman primate tissue concentrations and predict human dosing and what was happening with oligo. What we've changed -- we've said this over the course of 2021, which is just great. And I think it's important that we continue to reiterate it. One, differentiated chemistry that's translating to different pharmacology and profile. Two, preclinical models now where we can assess target engagement, we can do the pharmacology assessment. We can model that assessment, and we can plan from where we started in the clinic. And that was the data when we shared, I think it was July of last year, we announced the initiation of the study. We were very clear that we are initiating the study on C9 modeled based on where we would anticipate target engagement based on our preclinical data to guide the adaptive clinical trial designs. These data that we shared recently reaffirmed that for us. We saw in the adaptive design at the first dose, the 10 milligram dose, a statistically significant dose response against placebo. So, as we follow this out, it told us that we are guiding to the clinic was translating. And as Mike alluded to, we hope to see the same thing in HD and others. So, I think the fundamental shift to your question was really better use of modeling where we're designing that. Our pharmacology is different based on PN chemistry. I think our double knockout mouse in BMD was a great example of being able to compare a PSPO backbone, which is the backlog of distributors and against the backbone in N531 with PN chemistry seeing different distribution to the nucleus and cell muscle update seeing different change in survival that was consequential and ultimately looking at functional outcomes. So, I think wholesale, the shift in 2020 to 2021, which is really about new chemistry and implementing it and the change like our other peer platform companies and all of those have done, coupled with better predictive modeling, really with the transformation in 2021, that led to the three clinical programs that we have today and essentially acceleration of our RNA editing platform. But it was a fundamental shift in predictive modeling.
Mani Foroohar: Great. That's helpful. Understand your thinking. Thanks guys.
Paul Bolno: Thank you.
Operator: Our next question comes from Suji Jeong with Jefferies.
Suji Jeong: Hi. Thanks for taking our question. This is Suji dialing in for Eun. So, my first question is when you have the data for DMD and Huntington's disease program later this year, [technical difficulty] further development? And I have a couple of follow-ups. Thanks.
Paul Bolno: You've started to break up towards the end. So, I'm going to repeat your question and please just tell me if we have it inaccurately. So, Suji, just want to know what is the bar for the next phase of development in HD and DMD?
Suji Jeong: Yes.
Paul Bolno: Okay. Yeah. So, I think what we anticipate being able to share in HD is very similar. And I think we all have an update kind of -- what an update looks like, right? We did that in C9, which was here's the data update in terms of target engagement, dose and understanding and safety for that drug. In Huntington's disease, so it was poly(GP) in the case of C9. So, we anticipate being able to share is and biomarkers that we're assessing in the HD study is, obviously, the mutant Huntington, we're looking at wild-type Huntington and we'll continue to have identify. So those will be the total data set that we'll use, in total to make decisions over 2022 in the case of HD.  And then for DMD, we'll have muscle biopsies where a key question we want to answer on that is, did we change tissue concentration and distribution? Because if you remember last year -- I'm sorry -- not last year. We actually -- and we shared this at the muscular -- one of the muscular dystrophy meetings after that data is we didn't see distribution of drug. Drug got stuck in the interstitial space. We didn't see that translation in the boys muscle compartment of drug getting into the nucleus. So, we'll be able to do that same assessment as part of the study to really answer the question fundamentally as N531 different than [indiscernible], is preclinical -- the previous question is preclinical data translating and we'll also obviously be looking CNS as well. So those will be the hidden drivers too and we'll give updates during those data as to what the next steps for those steps are.
Suji Jeong: Great. Thank you. So, you mentioned about the wild-type Huntington level data that you're going to be sharing. So, I remember that a couple of years ago, you guys had trouble measuring the wild-type Huntington, do you have the assay confirmed and ready to be used? And another question I have is related to the C9 program. As you pointed out on your slide, I mean, C9 ALS could also be driven by the loss of function as well as education and your program as well as Biogen, it only targets the gain of function side. Do you think that there might be some manifestation of the disease years and buyers you may not be able to address because you don't need to target one side of the pathophysiology.
Paul Bolno: So, I'll take the first question, and Mike will take the C9 question. But to the assay, I mean, I think while disappointing on the SNP1 and 2 study, I think the one piece that we will take solid is that we did validate the assay for the wild-type and in conjunction with our partners at CACI and other institute. So, I think there's a lot done to have that assay ready. We use that assay. So, we feel confident in both that assay as well as in the mute assay. So, I think the tools that we need to use to evaluate the program are in place. And now based on the predictive modeling that we have with SNP3 and the design of the study, we'll do that assessment now with PN containing SNP3 molecule. So, we do feel confident that we have the tools to be able to assess outcome.
Mike Panzara: Yeah. The only thing I'd add on the assay is that, Tom, the assay itself, the details were presented at the HDI. And so, I think that's an important thing where it's been reviewed and discussed within the scientific community. I think in terms of the biology of C9 ALS, our approach here is to develop a compound that is as selective as possible to not make any preexisting affluent sufficiency any worse. I mean, we know that people who are asymptomatic for the disease have that haplosufficiency and even in the setting of top protein remain asymptomatic. So, as you bring down that asymptomatic -- as you bring down that toxic protein and allow the haplo without worsening haplosufficiency, we believe and in working with the community believes that this is still an approach that's going to yield good clinical outcomes. So, we're comfortable in how we're approaching this.
Suji Jeong: Thank you. And one last question. Did you say that you expect quarterly cash burn to be lower than in the first quarter? Just wanted to clarify that.
Paul Bolno: That's correct.
Suji Jeong: Could you elaborate on how -- why you expect the quarterly cash burn to be lower than the first quarter as you have those clinical trials ongoing?
Paul Bolno: Yeah. I mean, I think, as I said, our cash burn fluctuate quarter-to-quarter based on activity, based on cash outflows. And often in the first quarter, we have outflows that are higher than other quarters, and you can see that historically. If we look back to the fourth quarter of last year, it's significantly lower than the first quarter of this year. So, as I said, I don't think you can just take first quarter cash and trend that out. I think you have to look at a longer time period and take into account the fact that in some of the prior periods, we had the HD and DMD programs ongoing, so there were high expenses there. So, I understand it's not a safe forward calculation, but we're comfortable with our projections. And as you know, we've been consistent in our cash runway statement.
Suji Jeong: Great. Thank you.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back to Paul for any closing remarks.
Paul Bolno: Thank you everyone for joining the call this morning to review our first quarter 2022 financial results and corporate update. And thank you to our Wave employees for their hard work and commitment to patients. Have a great day. Thank you.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.